Operator: Good afternoon. My name is Jennifer and I would like to welcome everyone to the Caleres Fourth Quarter of 2015 Earnings Call. All lines have been placed on mute to prevent any background noise. After speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would like to turn the conference over to Peggy Reilly Tharp.
Peggy Reilly Tharp: Thank you. Good afternoon and thank you for participating in the Caleres fourth quarter 2015 earnings call, which is being made available to the public via webcast. I’m Peggy Reilly Tharp, Vice President of Investor Relations for Caleres. Earlier today we distributed a press release with detailed financial tables which is available on our Web site at caleres.com. In addition, slides are available on our Web site for you to reference during this call. Please be aware today’s discussion contains forward-looking statements which are subject to a number of risks and uncertainties. Actual results may differ materially due to various risk factors, including, but not limited to, the factors disclosed in the Company’s Form 10-K and other filings with the U.S. Securities and Exchange Commission. Please refer to today’s press release and our SEC filings for more information on those factors and other factors which could impact forward-looking statements. Copies of these reports are available online. The company undertakes no obligation to update any information discussed on this call at any time. Joining us on the call today are Diane Sullivan, CEO, President and Chairman, Ken Hannah, Chief Financial Officer and Rick Ausick, President of Famous Footwear. Today we’ll begin with the review from Diane, followed by a financial summary from Ken, before turning the call back over for Q&A. And I'd now like to turn the call over to Diane Sullivan.
Diane Sullivan: Thanks, Peggy and good afternoon, everyone and thanks so much for joining us. It’s been a little over three months since our third quarter call, where we compressed confidence in our ability to manage the factors under our control and to deal with fourth quarter challenges like weather, our promotional holiday season and excess inventory in the marketplace. At that time I had said that these types of short-term industry-wide challenges wouldn’t derail us from delivering consistent, profitable and sustainable growth and we did just that in the fourth quarter, with adjusted EPS up 30%. For the full year, we saw improvement at both the top and bottom-line. Now starting with Famous Footwear, fourth quarter same-store sales were up 0.8% and steadily improved as the quarter progressed. November was down about 2% as unseasonably warm weather lingered, however December was up about 2% and this positive trend continued into January. While some retailers were more promotional during the quarter, we actually reduced the rate of some of our promotions. We maintained the same marketing calendar as we did in 2014 and we continue to offer trends like merchandise. Canvas, part of our overall athletic business was once again up double-digits, while total athletic was up 5% and while women’s dress and casual styles were soft. Booties were big winners in the quarter up more than 30%. Our product mix and our clean inventory position throughout the quarter helped us drive increased gross margin attainments, which was up 58 basis points in the fourth quarter. So not surprisingly, what we’re seeing is that when a consumer finds the footwear they want to buy it. This is why we invested in Sam in saying this is omni-channel and why we were able to deliver improved conversion rates for all of our channels and store online and mobile. To that point in the fourth quarter, we also saw an increase in pairs per transaction and average unit retail, both in-store and online as well. While traffic was down in-store, it was at famous.com as consumers continued to browse and shop online. In total famous.com accounted for 6% of Famous Footwear’s sales in the quarter with its strongest growth once again coming from mobile. In addition to a solid fourth quarter at Famous, we also wrapped up a great year, delivering annual sales of $1.6 billion, up 1.9% with same-store sales also up 1.9%. For 2015 the team delivered record operating profit of $109 million and improved revenue per square foot to $217 per foot. Now turning to our Brand Portfolio, where full year sales were up 2.3% and fourth quarter sales were up 0.8%. While there were certainly challenges relating to a later winter and excess inventory in the marketplace. Because we ended our third quarter with inventory down 0.6% year-over-year, we were not under pressure to rely on authorized channels during our promotional fourth quarter. As a result, we were able to deliver improvements in both growth and adjusted operating margin in the fourth quarter, up 74 basis points and 40 basis points respectively for a solid finish to 2015. For our Healthy Living brands, full year sales of $566.3 million were roughly flat, however Dr. Scholl's, LifeStride, and Ryka all delivered growth. For the fourth quarter total sales of $127.4 million was down 6.7%. But there was some good news, Naturalizer same-store sales were up 0.5% in the fourth quarter while ecommerce sales were up double-digits. Unfortunately, these positive results could not offset the negative impact related to currency which was approximately $4 million, some product eliminations nearly 4 million and some store closures of a little more than 1 million. And that accounted for roughly the entire fourth quarter decline at Healthy Living. We expect some of these fourth quarter trends that impacted Naturalizer to continue into the first quarter, specifically the impacts on currency and the planned product exits. We also expect to see first quarter weakness in the mass channel for Dr. Scholl's. Shifting to Contemporary Fashion where full year sales of $437.4 million were up 5.8%. We saw improvement in 2015 across all brands with the exception of Via Spiga. For the fourth quarter sales of 120.9 million were up 9.1% led by our two largest contemporary brands, Sam Edelman and Franco Sarto. I expect positive Contemporary Fashion sales trends are going to continue into 2016. Going forward, our broad portfolio of brands will help us to navigate continued changes in consumer shopping preferences, industry-wide inventory management and channel deflection. I'm very excited and confident about the potential for our entire Company and our ambitions have not changed. There's no denying there has been a shift in the marketplace and the situation will continue to be dynamic. However, the breadth of our company-wide portfolio across brands, channels, retailers and consumer segments provides us with more flexibility and better positions us for a constantly evolving retail environment. While the near-term retail landscape remains uncertain, we plan to continue to execute in 2016 as we did during a challenging fourth quarter and throughout 2015. The teams did just an outstanding job last year with Famous Footwear delivering record operating profit and our Brand Portfolio passing the $1 billion sales mark. We executed against our plan this past year and as a result, we achieved a number of significant accomplishments. We continue to invest in our people as we added depth to our executive ranks and consolidated our Brand Portfolio under one leader. We strengthened our balance sheet and received credit rating upgrades from both Moody's and S&P. We successfully rebranded the Company and still maintained our ties to our heritage. And we also committed to investing in our future with the expansion and modernization of our distribution centers, the launch of two new brands, the continued expansion of our Sam Edelman brand and his retail stores, our consumer targeting efforts at Famous Footwear and our continued investment in digital across the enterprise. In 2016, you can expect more of the same from us as we invest in our brands and our infrastructure and our people. We are confident in our ability to deliver consistent profitable and sustainable growth. And with that, I will turn it over to Ken to give you a little bit more detail around our financial review.
Ken Hannah: Thank you, Diane, and good afternoon, everyone. Today we reported a strong fourth quarter to close out a great 2015. Our net sales for the quarter were $608.7 million, up 0.4% excluding shoes.com which was sold in December of 2014. For the full year our sales of $2.577 billion were up 2% excluding shoes.com. Consolidated gross margin for the fourth quarter was 40.8% of sales, up 55 basis points year-over-year as we drove improvement in both Famous Footwear and in our Brand Portfolio. For the full year gross margin of 40.7% was up 21 basis points and slightly ahead of our guidance as the team affectively managed inventory in a tough second half. Total SG&A expense in the fourth quarter was $231.2 million or 38% of sales. For the full year SG&A of $912.7 million was flat as a percent of sales at 35.4%, consistent with our guidance. Depreciation and amortization was $13.1 million for the fourth quarter. Our net interest expense for the fourth quarter was $3.5 million, down 26% year-over-year as we benefited from the refinancing of our senior notes in the second quarter. For the full year interest expense was down 22%, excluding the debt extinguishment expenses we incurred. Our corporate tax rate for the year was 24.8%, reflecting our continued use of existing tax loss carry forwards. Adjusted net earnings were $11.4 million in the fourth quarter versus $9 million in 2014, and adjusted earnings per share of $0.26, was up 30% year-over-year. For the full year we delivered adjusted net earnings of $88 million and $2 per share, an increase of 16% over 2014. During the fourth quarter, we opened 12 Famous Footwear stores and closed 10, operating 8 more Famous stores year-over-year. We also opened 3 new Sam Edelman stores in the fourth quarter and ended the year with 6 Sam stores in total. For the full year, we opened 50 Famous Footwear stores and closed 42, improving sales productivity to $217 per square foot. Capital expenditures were $28.4 million for the fourth quarter and $81.2 million for the full year, reflecting increased distribution center investment associated with our consumer fulfillment initiative. Now turning to the balance sheet, we ended the year with cash and equivalents of $118.2 million and had no borrowings against our revolving credit facility. Our overall inventory at year-end was $546.7 million, up slightly from $543.1 million at the end of 2014. At Famous Footwear, we ended the quarter with inventory up 1.2% on an average store basis. Our Brand Portfolio inventory declined 1.8% year-over-year as the brands were successful in moving seasonal product. Our return on invested capital for 2015 was 12.6%, compared with 11.6% for the same period a year ago, reflecting the continuous improvement in our earnings. Before we begin Q&A, I'd like provide you with our initial guidance for 2016, despite a solid fourth quarter and a strong 2015, we are realistic about potential 2016 challenges. At Famous Footwear, we expect the success we have had with casual athletic product to continue. For our Brand Portfolio, we expect some near-term market challenges as many of our retail partners try to improve their inventory productivity. As Diane said earlier, we are confident in our ability to deliver consistent, profitable and sustainable growth through the continued execution of our strategy and we will continue to invest in our brands, our infrastructure and our people. We won't sacrifice our long-term goals for short-term and shortsighted success. With this in mind for 2016, we are currently expecting earnings per diluted share between $2 to $2.10, consolidated net sales of $2.65 billion to $2.68 billion, same-store sales at Famous Footwear up low single-digits, net sales for the Brand Portfolio segment up mid-single digits, gross margin up 10 to 20 basis points, our SG&A flat to down 10 basis points and effective tax rate between 30% to 32% and capital expenditures of approximately $70 million. This guidance includes the opening of 55 new Famous Footwear stores and the closing of approximately 40 stores. The opening of 6 new Sam Edelman retail stores and the addition to the 6 we’re already operating at year-end, the continued expansion and modernization of our distribution centers and the ramp-up of our 2 new Contemporary Fashion brands George Brown and Diane von Furstenberg. Just as we did in 2015, we will provide updates as 2016 progresses and as we gain more clarity around the overall retail marketplace. And with that, I'd like to turn the call back over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Laurent Vasilescu with Macquarie.
Laurent Vasilescu: In terms of the earnings guidance for fiscal ’16, how do we think about the first half versus the back half? Any color on the core, if that is possible, and then any color on the gross margin evolution over the course of the year? That would be great.
Ken Hannah: I think Laurent this is Ken, as Diane mentioned, we expect the first half to be slower than the back half. I think the -- in the Healthy Living business with both Naturalizer and Dr. Scholl’s, I think we have got some continued sales shortfalls in the early part of the year with currency, the changes that we’re seeing in the mass channels and then I think it progresses throughout the year.
Laurent Vasilescu: And then I just wanted to follow-up. I think I heard Sam Edelman with up high single-digits for the fourth quarter. If that is the case, what are your expectations for this year and how do we think about what the initiatives for ’16 on Sam Edelman?
Diane Sullivan: Hi Laurent, it’s Diane. How are you?
Laurent Vasilescu: Good. How are you?
Diane Sullivan: We’re very excited and continue to be about our Sam Edelman business and yes it was, actually they were up over double-digits, it’s a little somewhere in the, I would say low double-digit range. So we feel really good about their continued trend. We love the idea now that we have, we’ll have 12 stores by the end of 2016. Upon which we think that w are at a great place for that brand, we’ll probably pause and really assess and make sure that they are as productive and it’s profitable as we need them to be. But feel very good about and his ecommerce business as with all of our businesses across actually our enterprise has been just phenomenal. So he has been up over 40%, our Famous business, ecommerce businesses it has been up over 30, virtually every aspect when you look at any of our ecommerce business they’ve been fantastic, including Drop Ship and our Brand portfolio businesses, so feeling very positive about all those things.
Laurent Vasilescu: And then lastly on the comps, if I heard right it sounds like quarter to-date comps are up low single-digits. I think February last year was flat and then it got much better in March when whether turned and became more corporative. How do we think about the comp cadence for this year for the first quarter?
Rick Ausick: Hi, it’s Rick. Well our comps are up mid single-digits, so no I think we said 18 before but mid single for different six weeks and that’s pretty consistent, it was pretty consistent with what we had in February and then consistent so far this month. The shift in Easter is a week earlier so that has some play on our promotional calendar and how all that falls. So I think we really have to, we don’t see it changing much, we think it might be at its high point now as we go through the offsets. We could see a little bit of reduction there, we’ve talked about low single-digits as our target, I think that is what we still expect, well no more than three or four weeks when we cycle through Easter this year at and versus last year.
Operator: Our next question comes from Chris Svezia with Susquehanna Financial.
Chris Svezia: I guess first just on the comping up mid single-digit so far for the first quarter. How much does the tax refund play into that number. I just made that observation it’s been pretty consistent, in other words was it slow to start and then accelerate as you came through or just any additional color about that?
Ken Hannah: The first of it is February we are a little soft and then it kind of then it accelerated after that. But I think some of that could have been weather from a year ago and this year weather versus last year. We saw there was a couple of days where we had a blip that seem to be as we investigated like a Wednesday, Thursday of may be the second or third into February where we seem to have enormous upswing in our business for a day or two. If that seems to be related to tax refunds as we talked to the industry a little bit. Other than that we really didn’t see it and we haven’t really, it has not been little things we have ever felt had a big impact on our business one way or the other.
Chris Svezia: And if you think about product broadly, Canvas sounds like a broken record continues to sort of work for you. I guess how do you comp on top of comp is it just continued demand, special make-ups you get better products. And then on top of that just maybe talk a little bit about the athletic piece to the business in terms of any color about running, any color about just fashion athletic things of that nature?
Ken Hannah: Yes. Well I feel fashion athletic kind of in the same places as we would talk about canvas from a lifestyle point of view within -- all that would be what would consider lifestyle product. But the Canvas piece specifically, I think it’s a combination of keeping the assortment fresh, making sure that we have great size integrity on all those key items, we have a few special things, we don’t have a whole over assorted group of shoes that are exclusively to us, we do have some things that are and those things sell well and we keep updating them and changing them as the seasons pass. I think it's a whole conversation of something that we've been at and working on for a number of years, that built a relationship with the consumer, but if you're looking for that product, if you wanted a choice, the choice would be to come to us because we have a great selection and inventory when you need it. As far as the performance side, pleasantly surprised, the fourth quarter we were down low single-digits in running for the fourth quarter, but currently we're up basically low single-digits in addition to the growth we're seeing in the Lifestyle business for it, so both teams are actually doing pretty nicely for us right now.
Chris Svezia: And as you think about the leveragability and the opportunity to expand operating margins for Famous, has anything in this sort of the real dates are in, and the inventory seem okay, so productivity continues to improve, anything has changed in terms of the ability to generate operating margin improvement on a modest comp increase or not?
Ken Hannah: I think the only thing that we're still, and I think it's indicative throughout what we've just heard certain people talk about is as you do more online business so you do more ecommerce business, so that your shipping cost can impact your profitability there, so I think that's the only thing we're now going back and looking at. What does it actually mean if that business grows disproportionately to our total business? Would we get the same flow through of operating profit that we have historically had? And the answer is probably not. So, we're trying to put some parameters around what that would look like but that's the only thing that seems to be out of the ordinary.
Chris Svezia: And Diane if you just, you went through the branded piece pretty quickly, can you just walk through one more time Naturalizer just the wholesale -- between retail and wholesale, can you say that again what the differences were?
Diane Sullivan: Sure, let me talk about the total Brand Portfolio one more time, I think Chris because I know it goes pretty fast. I would say again for the fourth quarter we had really saw a positive sales improvement in Franco, in Sam, in Carlos, Fergie and Ryka, they were very strong. We were basically flat in Scholl's and LifeStride and Vince in the fourth quarter and really the Scholl's piece of it was due to -- and will continue in the first quarter was a little bit of softness and some change in Walmart. And then in terms of where it was a little tougher with Spiga and Naturalizer in the fourth quarter, but as you turn to the full year again because it's really tough to always evaluate these brands on a quarter-by-quarter certainly seasonal was a bit more effective, but for the full year virtually all brands with the exception of Spiga and Naturalizer were flat or up for the year which again I think was very good. So, turning to Naturalizer, specifically there were some really bright lights, and it gives you the feeling in the data points, they're basically telling me that we're starting to make some -- have some improvement there. Our comps were up half a point in the fourth quarter, our ecommerce business was up about 15%. We were -- that wasn't quite enough to offset a couple of negatives, we had some currency issues here, because we have those Canadian stores of about 4 million, we did exit some low margin product categories which was about 4 million and some 10 fewer stores which is about another 1 million, so that was kind of all in the fourth quarter. And again back to the year to give you a perspective on that, wholesale sales were up 6.5%, ecommerce trends are improving, comps that are improving a significant way from first half to the second half. And again it was just in total the headwinds on currency and fewer stores that we were operating. So, well we've got to continue to demonstrate this, continue its improvement and I'm seeing a lot of data points that make me feel good that we're heading in the right direction and doing the right work that we had to do. And I've been saying that this was not going to be an overnight sensation, it was going to take a little bit of time and I think we're making the right kind of progress, never fast enough of course. But feel very good about it.
Chris Svezia: And just one last follow-up, when you think about the first half and some of the -- retail environment that we're in, how much of it is just the broad landscape of the retail environment everyone is being conservative and open to buying and try to keep inventories tight and how much of it is specifically to your brand, is it more just the environment you guys are trying to keep a lid on things to get through the Walmart et cetera and before or it is just [Multiple Speakers]?
Diane Sullivan: No actually it really is the environment really the Walmart is the only one which we really wanted to make sure we called out as that is sort of related specifically to us. But it's really about the environment as you know very well for us every -- retailers are really trying to continue to navigate, how do they drive inventory productivity and it would certainly amplify in the fourth quarter of this year and everybody is trying to figure how do they do that well and still satisfy the needs of the consumers. So, the game is really inventory productivity, people are trying to shift the risk around we're getting lower initials, everybody wants to chase product and I think we're in a good position to really respond to a lot of that, but we want to be really careful very early on to make sure that we have a very-very clear picture of what that all is going to look like. So, it really is the market condition and when I look at the sell throughs right now of our business as the weather has started to open up I am starting to feel even more confident about things, but until we see it and it's the same thing I've been saying since I've been CEO here when we see it and are sure we will let you now but our feeling is quite confident about what of some of the early reads look like.
Operator: Our next question comes from Jeff Stein with Northcoast Research.
Kushan Akhtil: This is Kushan calling in for Jeff. Thank you for taking my questions. For the wholesale business one of the major puts and takes biggest opportunities as you enter the year, second here for Famous Footwear what do you see its impact or a possible impact from the earlier Easter this year and if you can talk a little bit about the key categories do you see as performing well in the spring so far? Lastly if you can talk about the key investment priorities that you have for this year and how are you thinking about allocating capital investment for the year? Thank you.
Diane Sullivan: I'll take the opportunities on the Brand Portfolio Rick would you talk a little about the Famous season and the capital allocation, so in terms of the biggest opportunities in ’16 actually there is not a business that we don't feel has an opportunity. I think particularly in the Contemporary Fashion side of our business is where you know I would expect to see the most lift and that has a lot to do with the fact that there is a lot of newness in some of the trends and developers and products that we're saying, right now that I think is giving us a lot of confidence whether it's sport sneakers that we're seeing from a number of our brands, spring booties have been strong. There is a whole new block heel trend out there that are on sandals and a lot of other things that a number of our brands are seeing great opportunities there. At Lacing and Jellies and that sort of thing has refreshed the direct category, lots of great flats out there right now, so when we look at some of the trends as some really new and fresh exciting things are beginning to drive the business, so we have a lot -- that is reflected in a lot of our brand and our Brand Portfolio. So our biggest growth is we'll see definitely in ’16 in the Contemporary Fashion space, but expect LifeStride and Naturalizer and Ryka to show good gains as we go forward as well. So that's a little bit of color on our ’16, and Rick, a little on trends from your perspective.
Rick Ausick: Yes just on the Easter shift, this earlier Easter a week doesn’t usually matter since it all ends up in the same quarter we think we get business, it just shifts our promotional cadence a little bit and you might get some shift of business a little earlier based on the spring breaks and things like that. But again, we don't think that changes the overall perspective that's why we believe we're still in the that low single-digit increase for the quarter, would probably where we end up when it's all said and done. As far as trends, we talked a little bit about athletic before so that trend is very strong currently. Our sandal business is again very strong so far a nice lift both in sport sandals so the athletic brand the sandals we have are doing well, as well as some of the footwear sandals so at Birkenstock and alike those things have started off very-very strongly in the first quarter so far. Those two categories are important to us now and into the second quarter, so that gives us a confidence that we have our assortment looks right and then we'll just see how the customers votes over the next few weeks in the first quarter.
Ken Hannah: I’d just close here with the investments, I think from an ROIC standpoint we mentioned, we ended the year on the trailing 12 month basis at 12.6% so that's up from 11.6 for the 12 months the year before and I think we mentioned that we're focusing internally on our people, our brands and our infrastructure we've got, we spent $80 million in 2015 in capital, we're guiding to spend another $70 million in capital this year as we continue to invest in our distribution centers just to complete our consumer fulfilment initiative. Where obviously we're opening 55 new famous stores, so in totally we think we have lots of opportunity to continue to improve our operating performance we'll continue to pay a modest dividend and we do have authorization from our Board from a share repurchase standpoint and so at a minimum this year we will buy enough shares to offset dilution and then as we've said before we're opportunistic when it comes to say M&A.
Operator: Our next question comes from the line of Jill Nelson with Johnson Rice.
Jill Nelson: If you could just talk about your last year, you had a lot of disruption with the port issue and what not, if you could refresh us and do we face any easy compares in the first half that you think you might get it less?
Ken Hannah: Jill from Diane’s point the only place we really felt it significantly was on our women's non-athletic and kind of the kids non-athletic piece of the business where we have some delays in delivery of first quarter goods that showed up late in the middle of March if you will to allow us to be able to sell through that product. Obviously we didn't have that situation this year. Those businesses are very good right now, so I think we're getting some benefit from it. Obviously the belief is that that would moderate itself a little bit as we get into April and probably early second quarter when all those things kind of solve themselves for us so other than we really didn’t see a lot of impact in any other piece of the business.
Diane Sullivan: And I don't think Jill there is another impact anywhere else in the enterprise.
Jill Nelson: And just given as you talk about the retail channels trying to figure out their inventory, productivity and what not, still guiding looking for mid single-digits type increase of the branded portfolio division, would we assume a lower number kind of first, second quarter and in kind of that growth trend elevating the back half for that segment?
Diane Sullivan: Exactly and that's why we called out a couple of things continuing into the first quarter.
Jill Nelson: And then if you could talk about maybe some of your brands that are more exposed to all price channel given there has been some changes in that as well it'd be helpful?
Diane Sullivan: The biggest hurdle we have is the one that we talked about with Scholl’s and with Walmart and as they really are making sure they're adjusting their brands and products to address their consumer need they're really making sure that they're extraordinarily valued price and that's really not where the Scholl’s product has been really positioned on their floor, so it primarily is Walmart, the rest of it Jill is much more opportunistic. I mean the big issue in the fourth quarter was there was so much inventory from brands that you could say were demand brands that had a lot of excess inventory that then created more pressure for brands at the lower end of some of the channels. But overall, I don't see that as being a continuing issue for us once we get through the first quarter of this year.
Operator: The next question comes from the Scott Krasik with Buckingham Research.
Scott Krasik: So just to confirm you gave some of the detail but to a middle single-digit on quarter to-date just relative to sort of the fourth quarter trends athletic being up mid singles, women being down, so which one of those have shifted or how do those look in 1Q relative to 4Q?
Ken Hannah: So athletic is better than that and women's non-athletic is much better than that.
Scott Krasik: And then in your experience a good or early Easter does that pertains full forward, does pertain that when the weather stays sustainably warm, you generally see similar trends, what have you experienced in the past?
Ken Hannah: I think that's what was the exception -- actually there is a long-term weather guys are talking about, this is actually you’d say it is shaping up to be a relatively normal weather here if there is every one of those left any more, where kind of warm and wet in the spring, hot and dry in the summer, and cool and, cold and snowy in the winter. When we've had those kind of things you do get more first quarter business on your open footwear than you would normally get and it moderates a little bit in the second quarter now whether that is what holds true start, I don't know but it would typically say that first quarter would be a better or better of how the open sandal business, and open footwear business is going do for the season. Again, we're impressed by the sell throughs, we're impressed by the units we're selling and what that means, we haven't done anything as far as going back and buying more goods yet, so it is not that not that kind of a situation yet. So I think we're happy with what we have and we think it's something we can sustain for a while.
Scott Krasik: And then what percentage of your athletic business is performance?
Ken Hannah: Performance is still probably about 60% something like that.
Scott Krasik: And a lot of people have talked about that business trending down, how are you seeing that for you how does that part looks like [Multiple Speakers]?
Ken Hannah: For the first quarter it's up low single-digits and it was down low single-digits for fourth quarter, so that trend has changed a little bit as well.
Scott Krasik: And then Diane, I forget exactly when you reported third quarter maybe November 25th or something in that range?
Diane Sullivan: Something like that yes.
Scott Krasik: At that point you were guiding to double-digit wholesale growth and a lot of it was supposed to come in January, so I am just wondering I mean you obviously came in well below that, so what changed relative to your outlook then you obviously knew it was going to be a bad boot season even then?
Diane Sullivan: Yes, we did but it certainly got even worse than what we had anticipated at that point in time, so it was really kind of as we worked our way through the quarter, we just tried to manage it Scott as we thought and tried to really optimize the profitability and tried to make sure that we're balancing sales and margin and profit all the way through that. So, and it varies so much by brands, but that was really what we tried to do, yes, we were a little more hopeful about the top-line on the Brand Portfolio side, but again had to deal with what we had to deal with and managed our way through.
Scott Krasik: Rick, one last question, sorry, a large national chain today announced the big rollout on kids footwear, I think kids might be a quarter of your business or somewhere in that range, how do you view that in terms of a new competitor entering and what do you do to defend your turf so to speak?
Rick Ausick: First of all kids is about 15% of our total sales and I am sorry I said that and listen there is nothing I can do to stop that so we want to compete, so we'll compete. And we've had people enter the lifestyle athletic business and we've had people grow their athletic business over the last five or six years and that's probably as competitive of business and all our businesses have done has got better and grown more rapidly than what we think the market has grown in our channel. So, I don't see us doing anything different than just doing our job of having great assortments in our stores and our customers have been shopping with us for 50 years. So, I think it's going to be one of those things that we'll take our chances, but we think we can compete very well.
Operator: Our next question comes from Corrina Freedman with BB&T.
Corrina Freedman: Diane I wonder if you could quantify your comments about retailers wanting to take on less risk and you being more on stock, could you talk about may be the delta year-over-year this fall -- for this fall sell-ins versus last fall?
Diane Sullivan: Yes Corrina no problem I think it wasn't so much in really in the fourth quarter it is what we're seeing going -- coming into first and into second and third quarter is kind of where we're seeing most of that impact. And right now I think it depends again on the brand, some brands they've got their order base pretty very close on the initial orders unless there're some that are down in the high single-digits. So, it really varies by retailer too in terms of how their trends have been. So, it could be anywhere from basically flat to initial orders being down and the high single-digit range.
Corrina Freedman: And does that change your expectations for inventories for next quarter or the next couple of quarters?
Diane Sullivan: Well, as you can see we've really managed our inventories pretty well, we will not -- we're going to have to pick and choose our spots about here and there, if we feel very strongly about a certain shoe or category of business that we really want to support with additional inventory which we do. Certainly we will if it is many times because we don't get all of our orders upfront on initials. So -- but I think we'll continue to be very smart about it until we kind of see the way everybody is going to play this over the next couple of months. And then how fast we can really get into some goods as well we've been working on, very hard on that too, on certain rapid replenishment capabilities that we have. So, it's an important aspect of what we think we're going to have be paying attention to from a wholesale perspective to grow our business going forward in the next couple of years.
Corrina Freedman: And my last question is if you can give us an update on the apparel initiatives for Edelman and also obviously on the store rollout?
Diane Sullivan: Yes sure, we're -- again continue to be excited about Sam's business. We did a few -- we have six stores opened this year, we've got six more up, coming up and I'm actually trying to flip to see if I can find what -- which ones those are and the timing. With respect to apparel, I can't remember if we've mentioned this on the call or not before but we actually do not -- our agreement with Kellwood, we terminated that, I would say middle of last year. So, we did continue to have some goods from that through most of 2015 and Sam and the team are in the process of really assessing what they're going to do and how they're going to handle that going forward. So, they have a couple of alternatives but trying to figure out what's the right approach there. And then in the meantime on the stores that are coming up, we have a store at Boston that's approved at Aventura Mall, North Park, World Trade Center and then the Galleria in Houston in '17, they're the ones that are on the docket. So terrific locations, in fact I actually was in Boston this last week and walked by the location that has approved looks like a great spot, so very excited about really getting a better understanding of what it's going to take be super successful with Sam Edelman stores.
Operator: Our next question is from Jay Sole with Morgan Stanley.
Jay Sole: Three questions, first can you give us an update on the global supply chain initiative and how that might be impacting gross margin guidance for this year? And then secondly -- again you touched on this earlier but given the industry related challenges that you spoke off, how does that make you think about M&A, does it make you think any differently, and then lastly just a quick update on Diane von Furstenberg like what to watch for maybe for FY16, how that partnership is progressing? Thank you.
Diane Sullivan: Sure, no problem Jay. Let's start with the last one first, DVF again very excited about that partnership, as I think I've said all along it’s been actively engaged with our teams and really building that business with us and making sure that we have the right product that speaks to the consumer so far our early reads on selling is this, we first shipped our first shoes in really December but feeling like what we're seeing had some really good best sellers out there already. I think it's too early to call yet how fast we can ramp it, I think I've always said that our goal was to have it be as successful and ramp similarly to best women’s business and we haven't changed our ambition around that. So, we'll see and we have -- we'll continue that work to do. On the M&A side of things given the environment today, I don't think Jay that really changes my perspective about it. We have a lot of confidence that we've got the right strategies in place for our businesses. We think we're focused on the right areas. We've been for a number of years. I think we've been patient and thoughtful and we'll continue to be that but if we find something that we feel is strategically relevant for our enterprise and our portfolio of businesses, we'll go after it but thoughtfully. So, that's what I would say on M&A. In terms of global supply chain, a lot of terrific work going on there. I think you've heard little bits and pieces of it, it's really kind of four components, we're looking at materials, management and rationalizing our materials, we're looking at rapid replenishment to help us really compete even more effectively in this new environment. So, we can get back into really good selling products quickly. We're also looking at our supply base in total, our factory partnerships and really looking at how can we focus those even more. We don't -- we really believe that strategic partnerships are the way to go that's the consistency and the quality in the brands that we want to deliver to our consumers, so we're looking at reducing the number of partnerships, but keeping focused on the most important ones. And then the last piece of what we've been working on, I don't know if we've chatted too much about it, but we're also looking at really what I would call I guess integrated planning across the company. And that is how do we make sure that all the way from line planning, all the way to supply planning and placing orders in the factories, we have a really well orchestrated, integrated approach to how we do that and while it works we think there is a way to really streamline and simplify some of our processes across our company. So, we're doing a lot of work on that and we'd expect that -- I would think some time in the middle of this year, most of that work will be really well underway and our expectations are that in 2017 we should have some material impact from that work and even in the short-term on some of the rapid replenishment as we're piloting some of those things, we should have some early read on that too. So, we've a guy named Mark Schmitt who is our CIO and heads all of our logistics kind of overseeing that project and he's doing a great job with I guess probably 50 across the people that are working with him to help make that happen. So, feel pretty good about that.
Operator: Our next comes from Eddie Plank with Jefferies.
Eddie Plank: So I guess maybe just retain on the gross margin expectations for 2016, maybe you can parse it out how you're viewing it, the opportunity for Famous Footwear versus the Brand Portfolio, I know Famous had some tough first half compares just curious how you're thinking about that?
Rick Ausick: Yes I mean I think we guided up 10 to 20 basis points, delivered 21 basis points this year, so it's not a whole lot different than kind of the way that we had saw it in 2015, I think that obviously with the wholesale business process review, the supply chain initiative that Diane was mentioning, we do believe in the latter part of the year we'll start to see some impact from that most of the plans there really call for 2017 impact, but some of the early reads are indicating that there's likely some benefit for this year, so that'll help in terms of the branded business and Rich business is really what the mix obviously as he grows his business we get the benefit of that in our mix and so we don't expect it to be a whole lot different than what we saw in '15.
Eddie Plank: And then Diane maybe can you talk a little bit about what are you seeing with Via Spiga, it’s been down for a few quarters now, maybe some of the challenges there and how you're kind of addressing those?
Diane Sullivan: Yes, I know it's been -- it was unfortunate this fall season, where I did have a -- as the teams did a hope that it would be a little different but a lot of their business, a very high penetration of boots in their business in the back half, so that was a tough one to overcome, but again I think the team that we have in place there is doing a good job, we actually Jay has brought in another women named -- her name is Nelli Kim who we're thrilled about, she's going to be the General Manager of our Vince, our DVF and our Via Spiga businesses, she's phenomenal and working with the teams there and we continue to be excited about the design team led by Paul Andrew who's doing a good job and early reads are again we have to -- I don’t believe until I see it all really happen but the early reads on our products for spring and our order base looks very good and the -- even some of our sell throughs right now are strong and our positioning with some of our customers for anniversary events and you name it also looks pretty good. So, you're right it's been a little bit of an up and down, a little frustrating but good news is that it's seems to be on the right track and not one of our bigger businesses either. So, if we can get it corrected and get it on a better growth trajectory I think it could be a real contributor in the future.
Eddie Plank: And just lastly, and maybe it's early to ask this question but does the outlook for 2016 change your view at all on the ability to hit the 8% op margin by 2020 or is that's just it's really just out?
Ken Hannah: No I think our long-term objectives are the same and I think and if you look at what we delivered this year with the 16% improvement, and I think we laid-out throughout the year. We got benefits by -- with some discrete tax items we were able to utilize some NOLs and even if you back that out the earnings this year were up double-digit and so when you fold into the $2 to $2.10 and you look on an apples-to-apples and you just take out the implications around tax. The high-end of that guidance range is up 11%, so I think we're continuing to focus on growing our earnings at a double-digit pace and obviously we got the benefit in the tax category in 2015. I think our cash tax rate was below 10%, so the effective rate it was in 25%-26% and at the end of the day we're looking at maximizing the return on invested capital and trying to manage our inventory and our cash and everything else. So when we look out over the 2016 period, we don’t see anything any different than we really saw when we laid out longer term objective and when we were all together in October.
Operator: Our next question comes from Sam Poser with CRT Capital.
Sam Poser: A few, Ken what is the share count we should be using for next year just?
Ken Hannah: Flat to this year, I mean, we'll buy enough shares to offset any dilution from our compensation plan, so you should assume the share count as flat, no change.
Sam Poser: Okay. And then Rick, Rick are you getting product, are you getting some Olympic product this year that you might not have seen in the past?
Rick Ausick: We have in other way package coming in June-July or something like that Sam whenever it is of course we don’t know what those look like, but when they tell us I will take a look at those feel them on so.
Sam Poser: And is that enough, are there enough units there to move the needle?
Rick Ausick: No I can't remember it's not a tremendous number of stores at all, I don't think it's more than a couple of 100 stores, I could be wrong about that. It is nice but it is not, I don’t see it moving the needle.
Sam Poser: And then when you look, Ken when you look at I mean the guidance, last year you guided low and sort of picked up some steam as the year went on, it sounds like to me that in about four weeks after we get through Easter and everything, your view of the world could just really -- your all views of the world could change dramatically, is that a fair assessment?
Rick Ausick: I think I mean that's a fair assessment, look we try to lay out what we see today and there's been a lot of pullback on additional orders and I think when you look at the individual brands, the sell-through at retail is very good, but we do recognize that a lot of our partners are in a situation where they're trying to manage their inventory. And so, we're not seeing the initial buys at a level to where we thought like we could raise our guidance anymore than what we provided, but obviously as we've done in the past, as we move throughout the year and we get more clarity and a higher degree of confidence, we'll certainly share that information with you.
Sam Poser: And I mean is it depend on the Famous Footwear side of things, you are comping quite well, it sounds like if I, I mean it sounds like you're lined up pretty well with inventory and so on, so why guide to low singles when you're off to such a good start as you're seeing it right that running mid?
Rick Ausick: Well I think a couple of things Sam, and I think we have had, we believe I think where we had a little bit of advantage in some categories to support that will anniversary itself when latter wall gets itself up. We have a weather benefit that we don't know if that's going to be move some business from second quarter to first quarter of some our open footwear business and we want to see the continued opportunity if performance of athletic continues that would be a plus we're not expecting so, I think those are just things we're trying to watch out for to make sure we're cautious and prudent about it, but I'm hoping for double-digits.
Sam Poser: One last thing we're getting, are your buyers buying to this low single plan and then you're chasing, are you as a retailer sort of taking the same point of view as the customers of a lot of the wholesale businesses?
Rick Ausick: We're not, we don't turn our inventory enormously fast first of all, so I think our first opportunity is if we get a better sell-through by a point or two that's not anything that we necessarily have to run out and react to because we're going to run out shoes, so I think it comes down to individual items and there have been a couple already this season, where we saw some reaction and some early indications and we went out and bought more product for second quarter and the third quarter. But that was on something that was selling at very-very high rates, so I think on a everyday basis we can get an extra 2% or 3% on our comp without having much inventory issues and our inventory trend would go up 3 to 5 basis points or something like that.
Operator: And your final question comes from William Reuter with Bank of America.
William Reuter: There was an earlier question about M&A and how bigger part of your strategy that it's going to be this year. I think I wasn’t entirely sure what you guys were saying about the environment, I guess how active it is, how many opportunities you guys are seeing and how you're viewing, either, I guess your need or I guess more of your desire to participate this year. So, can you maybe give me a little more color there?
Rick Ausick: Yes I think what we said is, is we would be opportunistic. I don’t think we're saying a tonnes of opportunity out in the marketplace. I mean I think right now the, we're focused internally on investing in our business and thus generating a nice return on our invested capital. So, I think the point was that we're certainly open and interested for the right opportunity and not really seeing any major change in the environment.
William Reuter: Okay. And then with regard to your own business, it sounds like you guys are really excited about the momentum you're seeing on the contemporary side. Is this meant to imply that in the event of -- there would be M&A opportunities, do you guys would be more active in that segment or is that not necessarily the case?
Rick Ausick: Well obviously that piece of the portfolio is growing at a faster rate. So to the extent that's where the customer is looking to spend their money, then obviously that drives our interest as well. So we're looking for opportunities that would be accretive to our business, would be a nice add to our portfolio and allow us to continue to achieve our long-term goals.
Operator: We have no further questions in queue at this time. And I would like to turn the call back over to Diane.
Diane Sullivan: Thank you very much everyone for joining us this afternoon, and we look forward to speaking to you again at the end of the first quarter, sometime late May. Take care.